Operator: Good day, ladies and gentlemen, and welcome to the Catalent, Inc. Third Quarter Fiscal Year 2016 Earnings Call. At this time all participants are in a listen-only mode. Later, we will have a questions-and-answer session, and instructions will be given at that time. As a reminder this conference call is being recorded. I would now like to turn the call over to your host for the conference Mr. Tom Castellano, Vice President, Finance, Investor Relations and Treasurer. Sir, you may begin.
Thomas Castellano - Treasurer, VP-Finance & Head-Investor Relations: Thank you, Brigitte. Good afternoon, everyone, and thank you for joining us today to review Catalent's third quarter fiscal year 2016 financial results. Please see our agenda on slide two of our accompanying presentation, which is available on our Investor Relations website. Joining me today, representing Catalent are John Chiminski, President and Chief Executive Officer; Matt Walsh, Executive Vice President and Chief Financial Officer; and Cornell Stamoran, Vice President of Strategy. During our call today, management will make forward-looking statements, including its beliefs and expectations about the company's future results. It is possible that the actual results could differ from management's expectations. We refer you to slide three for more detail. Please be aware that the forward-looking statements are based on the best available information to management and assumptions that management believes are reasonable. Such statements are not intended to be a representation of future results and are subject to risks and uncertainties. We refer you to Catalent's Form 10-K filed with the SEC on September 2, 2015 for more detailed information on the risks and uncertainties that have a direct bearing on the company's operating results, performance and financial condition. As discussed on slides four and five, on the call today, we will also disclose certain non-GAAP financial measures, which we use as supplemental measures of performance. We believe these measures provide useful information to investors in evaluating Catalent's operations period-over-period. For each non-GAAP financial measure that we use on this call, we have included in our earnings press release, issued just a short while ago, a reconciliation of the non-GAAP financial measure, to the most directly comparable GAAP financial measure. Please note that the non-GAAP financial measures have limitations as analytical tools, and they should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. Now I would like to turn the call over to President and Chief Executive Officer, John Chiminski.
John R. Chiminski - President, Chief Executive Officer & Director: Thanks, Tom, and welcome, everyone to our earnings call. I'd like to start by providing an update on our Beinheim facility, which is one of 11 softgel facilities in our worldwide manufacturing network of 31 sites. Since receiving notification from the ANSM, the French pharmaceutical regulatory agency suspending manufacturing at the site on November 13, 2015, we've been working diligently with all relevant authorities to resolve the issue. From the outset, we fully cooperated with the ANSM, as well as with law enforcement officials concerning the ongoing criminal investigations. While the resolution of the Beinheim situation took longer than originally anticipated we're pleased to announce that on April 28, ANSM has reinstated our license, and the site is currently fully operational. I'm extremely proud of my team, and I want thank them for everything they've done to bring the issue to a successful resolution, and I look forward to focusing our attention on a strong close to fiscal year 2016. However we do anticipate some continuing effect of the suspension of Beinheim into fiscal year 2017, due to the changes at the facility, and the business continuity plans we've implemented. These changes will be included in the fiscal year 2017 guidance we'll issue later this year. Matt will also provide more specifics on the financial impact of the Beinheim on fiscal year 2016 later in the presentation. Now, moving on to key operating accomplishments during the quarter; our third quarter operational performance was adversely affected by the challenges we continued to face in our Oral Technologies segment, related to the Beinheim facility temporary suspension and MRT softness. Results were disappointing, but we believe are near-term in nature and do not change our view of the longer-term growth prospects for Catalent. As you can see on slide six, our revenue decreased 2% as reported, and increased 2% organically in constant currency to $438 million. Top line growth on a constant currency basis for the quarter was driven by strong performance from our Medication Delivery Solutions and Development and Clinical Services segments, which was partially offset by a decrease in Oral Technologies segment. Also Medication Delivery Solutions posted a robust 12% EBITDA increase, compared to the prior year period. On a year-to-date basis we continue to be pleased with our top line performance and recorded year-on-year revenue growth of 6% on a constant currency basis, despite the challenges related to Beinheim and our MRT business. Our adjusted EBITDA of $80.7 was below the third quarter of fiscal year 2015, again, primarily due to the Beinheim suspension and reduced demand for certain high margin offerings within our modified release technologies platform. Our adjusted net income was $25 million or $0.20 per diluted share. In conclusion, we remain encouraged by the underlying trends in softgel, and we look forward to building on momentum in our other two business segments for the remainder of the fiscal year. Now, I would like to turn the call over to our Executive Vice President and Chief Financial Officer, Matt Walsh.
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: Thanks, John. I'll start my presentation with a brief review of our third quarter operating accomplishments by reporting segment, starting with Oral Technologies on slide seven. Our softgel business which accounted for approximately 70% of Oral Technologies segment revenue, was negatively affected by the temporary suspension of our Beinheim facility during the quarter. Excluding the impact of Beinheim, softgel posted robust revenue and EBITDA growth on a constant currency basis, and our softgel consumer health initiative continues to gain traction within Latin America, Asia Pacific, and Europe. While softgel performance in North America was moderately below prior year levels, which was mainly a timing issue as the business globally has delivered significant growth year-to-date. We're encouraged by the positive trends in the softgel business excluding Beinheim, we expect to see continued improvements in both revenue and profitability in the fourth quarter. The modified release business, which accounted for roughly 30% of Oral Technologies' sales, had another challenging quarter, which was directionally consistent with our expectations, but a bit more pronounced than we had anticipated. Due to lower customer demand for certain higher margin products, revenue within controlled release declined year-over-year. EBITDA margin contraction was similar to that seen in the first half of the fiscal year due to unfavorable product mix. We believe that the challenges we have seen in this business through the first nine months of this fiscal year are showing positive signs of turning around in the fourth quarter, and we expect MRT to return to growth as we enter next fiscal year. Our Development and Clinical Services segment, shown on slide eight, posted strong organic revenue growth in the third quarter, aided by organic growth within Analytical Services. The improvement in Clinical Services was driven by increased customer project activity as well as lower margin and comparator sourcing activities. EBITDA was negatively affected by the mix shift towards lower margin comparator revenue. Revenue growth from the Analytical Services business was driven by increased projects. However, unfavorable mix to these projects from our integrated oral dose supply business negatively affected profitability. As of March 31, 2016, our backlog for the Development and Clinical Services segment was $455 million, a 5% sequential increase. The segment also recorded net new business wins of $129 million during the third quarter, representing a 15% increase year-over-year. The segment's trailing 12-month book-to-bill ratio was 1.1. Now, on slide nine, turning to the Medication Delivery Solutions segment, we continue to see strong revenue growth within our Blow-Fill-Seal offerings across the core business during the third quarter. However, EBITDA performance was negatively affected by unfavorable product mix. Market fundamentals for Blow-Fill-Seal continue to remain attractive. Within the sterile injectables business, revenue was in line with the prior year, but EBITDA improved due to more favorable product mix in this area. Sterile Injectables continues to be well positioned for near-term growth with the entry to animal health prefilled syringes, for which we anticipate commercial sales beginning in the middle part of next fiscal year. And finally, recent investments in our Biologics business continue to translate into growth during the third quarter, and it remains the fastest growth business within Catalent. We recorded strong revenue and EBITDA growth at our Madison facility, which was driven by the completion of project milestones. The SMARTag technology continues to meet proof-of-concept milestones and customer interest remains strong as evidenced by our announcement of the research collaboration with Roche earlier this year. We continue to believe that our Biologics business is well positioned to drive future growth and comprise an increasing percentage of our overall business. Once again, and in order to provide additional insight into our long cycle business, which includes both Oral Technologies and Medication Delivery Solutions, we are disclosing our long-cycle development revenue and the number of new product introductions or NPIs. As a reminder, these metrics are only directional indicators of our business, since we do not control the sales or marketing of these products, nor can we predict the ultimate commercial success of them. We do, however, expect these metrics to offer insight into a long-term organic growth potential of our long cycle business. Due to the inherent quarterly variability of these metrics, we provide the numbers on a year-to-date basis. For the nine months ended March 31, 2016, we recorded development revenue of $108 million, an increase of 11% versus the same period of the prior fiscal year. Also in the same year-to-date period, we introduced 125 new products, which is an increase of 4% compared to the number of NPIs launched in the same period of the prior year. As a reminder, the number of NPIs in any given period depends on the timing of our customers' product launches which are often driven by regulatory body approvals or otherwise at the discretion of our customers and thus, this figure will continue to vary quarter-to-quarter. I'll now provide more details on our financial results for the third quarter. As a reminder, all the segment revenue and EBITDA year-over-year variances I will discuss over the next few slides are in constant currency. But turning to slide 10, revenue from the Oral Technologies segment was $260.8 million for the third quarter of fiscal 2016, a decrease of 3% compared to the third quarter a year ago. This performance was attributable to the temporary suspension of operations of our facility in Beinheim, lower demand for certain higher margin offerings within our Modified Release Technologies platform, partially offset by higher consumer health volume within softgel. Oral Technologies segment EBITDA for the third quarter of fiscal 2016 was $55.6 million, a decrease of 25% versus the third quarter a year ago. The decrease was primarily attributable to the temporary suspension of operations at Beinheim and reduced demand for certain higher margin offerings within our modified release technologies platform. This was partially offset by higher sales and more effective absorption of fixed cost through higher capacity utilization within our softgel operations. Revenue from the Development and Clinical Services segment was $112.6 million for the third quarter, an increase of 11% over the third quarter a year ago. This growth was primarily driven by our clinical services offerings, attributed to increased lower margin comparator sourcing volume as well as improved performance of analytical services in the U.S. Development and Clinical Services segment EBITDA for the third quarter was $19.7 million, a decrease of 15% year-over-year. The decrease was primarily due to a shift to lower margin comparator sourcing volume and increased cost related to site consolidation efforts to further streamline the Clinical Services operating platform. Revenue from the Medication Delivery Solutions segment was $68.3 million for the third quarter of fiscal 2016, an increase of 12% over the third quarter a year ago. We saw strong performance across a range of technology platforms in the segment led by increased demand for our biologics offerings, followed by higher demand in Blow-Fill-Seal, as well as the increased demand for our injectable products at our European prefilled syringe operations. Medication Delivery Solutions segment EBITDA was $12.1 million, an increase of 12% year-over-year. The increase was primarily attributable to increased profit generated by our biologics offering, as well as increased volume and favorable revenue mixed shift from our injectable products at our European prefilled syringe operations. Turning to slide 11, we see in precisely the same presentation format as slide 10, the nine-month year-to-date performance of our operating segment, both as reported and a constant currency. I won't cover every variance item in detail, but I would point out that the year-to-date, 6% constant currency revenue growth or 5% growth on an organic basis compared to the same period a year ago, is consistent with our constant currency long-term objective of 4% to 6% revenue growth per year. Slide 12 shows the reconciliation to the last 12 months EBITDA from continuing operations from the most proximate GAAP measure, which is earnings from continuing operations. This is a mechanical computation, which doesn't require much supporting commentary. It's there for your benefit to assist in tying out the reported figures to our computation of adjusted EBITDA, which is detailed on the next slide. So moving to adjusted EBITDA on slide 13, third quarter adjusted EBITDA decreased 27% to $80.7 million, compared to $110.5 million for the third quarter a year ago. Excluding the impact of foreign exchange translation, our third quarter adjusted EBITDA declined 21% to $87.2 million as higher profitability in the Medication Delivery Solutions segment was more than offset by declines in Oral Technologies related to Beinheim suspension and MRT high margin product slate. On slide 14, you can see that third quarter adjusted net income was $25 million or $0.20 per diluted share compared to adjusted net income of $50.5 million or $0.40 per diluted share in the third quarter a year ago. This slide also includes the reconciliation of earnings from continuing operations to non-GAAP adjusted net income in a summarized format for your reference. A more detailed version of this reconciliation can be found in our supplemental information section of the slide deck, where you will find essentially the same add-backs as seen on the adjusted EBITDA reconciliation slide. It's important to point out that in response to a recent regulatory focus on non-GAAP performance metrics we have revised the calculation for adjusted net income. We are making one change to this calculation and it pertains to the treatment of income taxes. We are moving away from our prior convention, which included cash income taxes and replacing it with book income tax expense as adjusted for discrete items. We are adopting the conventions that we will apply income tax expense at statutory rates to the pre-tax income in the period as well as to any adjustments in arriving at adjusted net income. In today's earning release, we applied a new computation of adjusted net income to the prior year-end and all interim quarterly period of the current fiscal year. The revised adjusted net income guidance that we will be discussing in a few minutes also incorporates the revised methodology. Please note that our GAAP reported net income, EBITDA from continuing operations and non-GAAP adjusted net income are not impacted by this and have not changed. In summary, the change to the adjusted net income calculation pronounced a more conservative view of adjusted net income, because the new format assumes that our results are taxed at statutory rates including in the U.S. where we are not the cash tax payer, have not been since 2008, and are not projected to be until fiscal year 2018, due to the utilization of net operating losses. Now turning to slide 15. As of March 31, 2016, our leverage ratio was 4.4 compared to 3.9 as of June 30, 2015. And our debt capital structure was essentially unchanged during the third quarter. On slide 16, we detail out our revised and narrowed fiscal year 2016 guidance, which reflects lower profitability compared to our previously issued financial guidance, primarily as a result of the extension of the Beinheim facility suspension past our previous mid-March assumptions. Adjusted EBITDA is now expected in the range of $400 million to $410 million, compared to the previous range of $410 million to $435 million. Adjusted net income is now expected in the range of $145 million to $160 million compared to the previous range of $185 million to $205 million. With respect to revenue we're narrowing our guidance range and now expect revenue to be in the range of $1.8 billion to $1.84 billion compared to the previous range of $1.78 billion to $1.84 billion. We are reiterating our previous guidance with respect to capital expenditures in the range of $125 million to $135 million and fully diluted share count in the range of 125 million to 127 million shares on a full-year weighted average basis. It's important to note that our guidance still aligns with our long-term organic revenue growth expectations of 4% to 6%, despite the Beinheim facility suspension. Slide 17 bridges our previously issued fiscal year 2016 adjusted EBITDA guidance to our revised fiscal year 2016 guidance. As you can see, the primary change to guidance is being driven by the Beinheim temporary suspension with a smaller contribution from the mixed impacts we've seen around the business this year, but mostly within modified release technologies. Lastly, let me remind everyone of the seasonality in our business and highlight our expected quarterly progression throughout the year. Due to the timing of our customers' annual facility maintenance period, as well as seasonality associated with budgetary spending decisions in the pharmaceutical and biotechnology industries, the first quarter of any fiscal year is generally our lightest quarter of the year by far, with the fourth quarter of any fiscal year, generally being our strongest by far. Operator, we'd now like to open the call for questions.
Operator: Thank you. Our first question comes from Tycho Peterson with JPMorgan. Your line is open.
Tejas R. Savant - JPMorgan Securities LLC: Hey, guys, it's Tejas on for Tycho. Just wanted to get a better sense for the EBITDA dynamic in the quarter as a result of Beinheim. I mean, in terms of the lingering impact now that the facility is open, can you share some color on that dynamic?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: The facility at Beinheim will undergo a progressive restart from April 28, now through the end of this fiscal year. So we'll be gradually bringing the facility back online. That is incorporated in the guidance that we just discussed. So you shouldn't think about it as a flick of a switch and everything is sort of back to pre-November levels. We are grooving new operating mechanisms at the site, and that will take some time.
Tejas R. Savant - JPMorgan Securities LLC: But was there any shift then (20:31) in terms of your expectations for the ramp relative to the last time you issued guidance on the last call. Do you think it's going to be a slower ramp and if so, why? Or is it just a similar ramp, it's just that it's now going to – it started at the end of April versus the middle of March?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: I actually think it's a little bit of both. So our expectations in terms of the slope of the ramp are more modest than they were in the prior guidance.
Tejas R. Savant - JPMorgan Securities LLC: Got it. And then finally, in terms of, just key lessons you have learned from the Beinheim episode. Have you rolled out similar safety and control measures through the rest of your facilities or are you planning to do so at some point down the road?
John R. Chiminski - President, Chief Executive Officer & Director: Yeah. So, John here. I would say that, certainly, there are a lot of lessons that we've learned through the Beinheim situation. Obviously, there was a bad actor within the facility that was, I would say, the crux of the problem. But we also identified when the ANSM came in some other issues that we needed to remediate, and we have now gone across, I would say, our facilities to understand where other changes from lessons learned at Beinheim will be rolled out. We'll probably not be rolling out the same level of security measures that were required at Beinheim, given the specific situation there. So I don't see significant cost impacts if you will, with the company, but they're certainly very good lessons learned that even with Catalent's great reputation and reliable supply, we can take it to the next level. So we're already in the process of rolling some of those things out, and we also have our senior management team meeting in the next several weeks where we're going to take that even further with all of the top 150 people within the company.
Tejas R. Savant - JPMorgan Securities LLC: All right, great. Thanks so much.
Operator: Our next question is from Ricky Goldwasser with Morgan Stanley. Your line is open.
Mark Rosenblum - Morgan Stanley & Co. LLC: Hi, this is Mark Rosenblum on for Ricky. Could you guys just go into a little a more detail on the margin headwinds in Dev-Clin. It looked like it was down, margins were down over 7% year-over-year. I just wanted to get a little more detail on that?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: Sure. There is really two things driving that. The first is that we recorded relatively more comparator revenue in the quarter than we did in the prior year period. Comparator revenue is really a sourcing, it's a procurement sourcing service that the company provides. And it's more, more priced off of a fee-for-service than it is a margin on the actual product. So this is – but because we are in the chain of title for the materials, we're required to according to GAAP to gross it up in our top line sales number. So this is low-to-mid single-digit margin business, substantially below the other revenue producing activities of the division. So it can cause revenue and – it can cause revenue volatility that doesn't necessarily translate down to the gross margin line. That's one impact. The other impact, is we had relatively less oral solids development manufacturing work than we had in the prior year period and that is relatively higher margin activity than the other fee-for-service scientific activities which comprise the division as well as the straight manufacturing and packing and storage and distribution revenue activities in the clinical supply business. So it's a revenue mix issue.
Mark Rosenblum - Morgan Stanley & Co. LLC: Got you. And going forward, do you expect it to move back to like the 25% or so margins that we've seen before or is 17% to 20% the new normal?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: We do expect margins to normalize. I think what we just saw in this 90-day period is not representative of what you would see over longer-time horizons when the comparator figure – when the comparator sales numbers averaged over the entire business, these can be lumpy revenue events when they occur, and we had a rather large lump if you will in the third quarter this year than what we saw in the third quarter last year. And the manufacture – the oral solids development and manufacturing activities are on in upswing, this business is growing within the company. It just didn't look that way in this relatively narrow 90-day period.
Mark Rosenblum - Morgan Stanley & Co. LLC: Got you. And then, one final question on the new guidance, net income declined significantly more than EBITDA and I think part of that is the new tax methodology. A, is that right and if though, can you kind of breakout the impact of taxes versus the decline in guidance?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: Sure. So the impact just solely due to the change in competition on methodology for taxes is $22 million, and the remainder is base business once again most of which is Beinheim related.
Mark Rosenblum - Morgan Stanley & Co. LLC: Okay. That's very helpful. Thanks.
Operator: Our next question comes from Dave Windley with Jefferies. Your line is open.
David Howard Windley - Jefferies LLC: Hi. Thanks for taking the questions. So, just to follow-on on that last one, Matt, the $22 million that was the cash tax change impact for the fiscal year?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: That's correct. For the entire fiscal year as we move from cash taxes to a book tax expense as adjusted for discrete items, $22 million, correct.
David Howard Windley - Jefferies LLC: Got you. And so the change in treatment for the fiscal third quarter, what impacts would it have had on numbers, how would they compare if we're thinking about trying to view those apples-to-apples to the way we would have expected you to report prior to the change?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: Yes. That would be about $5 million to $6 million.
David Howard Windley - Jefferies LLC: And net income would be improved by $5 million to $6 million?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: In the prior computation on methodology, yes.
David Howard Windley - Jefferies LLC: Sorry. So, which one would be higher the prior way or the current way?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: The prior way would be higher.
David Howard Windley - Jefferies LLC: Okay.
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: The newer methodology and the reason why I described it as conservative is it will be uniformly lower in just about any quarterly or year-to-date or full year period I can think off.
David Howard Windley - Jefferies LLC: Okay. Okay. We're confused on that because there was a flat line approach to the way you were I think accruing the cash tax impact...
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: Right.
David Howard Windley - Jefferies LLC: On a prior year basis. So, okay. So moving on, the Beinheim, I think I heard you talk about that Beinheim impact for the full year. I didn't hear you if you did call out kind of the Beinheim impact specifically in the third quarter?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: We didn't make reference to the Beinheim impact specifically into the third quarter David. Now that the facility is back up and running, we're going to return the focus of our IR communications to business segments versus individual sites.
David Howard Windley - Jefferies LLC: Okay. Is there, I guess, sticking with the Development and Clinical Solutions. So the bullish you talked about on competitor revenue, and acknowledging you just said you want about segments. But is – can you give us a relative size on that, I guess what I'm thinking about is revenue was down sequentially, up a little bit year-over-year. I don't know – I don't have a great sense for to what extent you expected to have that big bolus of comparator revenue, and if it hadn't come through where revenue would have landed for DCS in the quarter?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: So, the bolus that we saw sort of this quarter on a year-on-year basis is something in $7 million to $9 million range of revenue at low single-digit to mid-single digit gross margins. Does that help?
David Howard Windley - Jefferies LLC: Okay. That does. And then last question I have and I'll drop is – I'll throw it out there, and if you can't comment, fine, but there have been reports on potential M&A between yourselves and the European company. I wondered if you could comment on that confirm or deny it in anyway. Thank you.
John R. Chiminski - President, Chief Executive Officer & Director: Thanks, David. We don't comment on M&A speculation.
David Howard Windley - Jefferies LLC: And so, it is still just speculation?
John R. Chiminski - President, Chief Executive Officer & Director: It's just speculation that you've read in the press.
David Howard Windley - Jefferies LLC: Okay. Thank you.
Operator: Our next question is from Tim Evans with Wells Fargo Securities. Your line is open.
Sara M. Silverman - Wells Fargo Securities LLC: Hi. This is Sara Silverman on for Tim. I was wondering if you guys could comment on the OTC mix shift. Do you expect this will be a meaningful factor for EBITDA margin in fiscal year 2017, or do you think that mix has reached kind of a steady state at this point?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: When we can see the initiative, what we had expected to see was relatively nominal impact to our margins, because there's the capacity utilization and asset utilization play that offsets the naturally lower margins of consumer health business versus the branded pharma and generic pharma side of our business. That has largely played out in the numbers. Of course, everything is overshadowed by the temporary suspension at Beinheim as well as what's going on in the MRT business within the overall reporting segments. And I think as we look forward to next fiscal year, we expect to see the same dynamic.
Sara M. Silverman - Wells Fargo Securities LLC: Okay, great. That's helpful. Thank you.
Operator: Our next question is from Derik De Bruin with Bank of America. Your line is open.
Unknown Speaker: Hi, this is (31:47) for Derik De Bruin. If I may possibly get a feel for fiscal year 2017? I'm just curious, I know that Beinheim, essentially the startup is going to be gradual. Just curious how much of the sales loss in France, do you expect to recoup in fiscal year 2017? That's the first question.
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: Sure. So we're in the process of creating our fiscal 2017 guidance as we speak. So that number – those numbers for FY 2017 will be released in the future. So it's difficult to speak with any specifics at this time.
Unknown Speaker: Okay. I got it. But..
John R. Chiminski - President, Chief Executive Officer & Director: I would add – I will add from my opening comments that, we do expect that the changes to the facility that were made necessary to secure the supply chain, along with business continuity planning that we had put in place will lower the numbers from what they had previously been going into the November 13. We've not yet fully précised what that number will be but for modeling purposes you should assume that, they are lower and again that -we will be putting that out in our fiscal year 2017 guidance following our earnings for Q4.
Unknown Speaker: Got it. Thank you. And I guess, before you had guided for cash taxes of $42 million to $46 million in fiscal year 2016. Wondering if you could provide what the guidance would be for the new way you calculate taxes.
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: Well, so in terms of the cash taxes for the year, that $42 million to $46 million range we would be thinking about the lower side of that given the results of the third quarter. But the cash tax figure would not be – we wouldn't be proposing a new range for that.
Unknown Speaker: Okay. Got it. And anything that you guys are doing to get the tax rate lower going forward?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: Well, so we on a regular basis do what we can within the bounds of international tax laws to optimize our global tax position. That is an ongoing effort at the company, and that is largely done through smaller magnitude initiatives here and there. There is no big bang kind of outcome that would dramatically change things for Catalent in the absence of any significant merger and acquisition activity.
Unknown Speaker: Okay. And SG&A picked up in the quarter. Is that going to be a new run rate maybe as you implement corrective measures in Beinheim and deal with some SG&A improvements.
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: So I think that's part of the answer. So you are correct, in that compliance cost, which have generally been increasing for pharma services companies like Catalent are comprising an increasing portion of our overall SG&A. The specific issues regarding Beinheim certainly impacted the numbers for the quarter as well as the second quarter, and year-to-date numbers. We also had some significant M&A activity in the quarter that shows up in our reported numbers. We adjust it out. This is M&A spending that the company did for deals which did not close, and as everybody knows we're very active in our search for acquisition candidates in our space, and we were very active in the quarter, expenditures did go out although no closed deals in the third quarter.
Unknown Speaker: And were these deals that you were acquiring or been a target for?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: These were deals where we were looking at acquisition targets as the acquirer.
Unknown Speaker: Thank you.
Operator: Our next question is from John Kreger with William Blair. Your line is open.
John C. Kreger - William Blair & Co. LLC: Hi, thanks very much. Matt, one other tax rate question for you longer-term, is it reasonable to expect something in the high 20%s, 27%, 28%, going forward?
Matthew M. Walsh - Chief Financial Officer & Executive Vice President: I would estimate something a little higher, John. I think it's 30% to 31% would be an effective tax rate, ETR for long range planning purposes.
John C. Kreger - William Blair & Co. LLC: All right, thank you. Another Beinheim question, once the facility is fully back up, do you think it will have the same revenue and EBITDA production capacity as it had before the suspension, or do you expect any sort of permanent change in operating efficiency?
John R. Chiminski - President, Chief Executive Officer & Director: Yeah, so this is John, I would tell you that. If you asked this question three months ago, we believed that the facility would be more or less coming up to its previous revenue and EBITDA generating capacity. After the six months closure and remediations that we had to put in place into the facility, basically zero tolerance for any malintent and so forth and then some of the business continuity plans that we put in place to move certain products out at the request of customers, will pretty much ensure that the revenue and EBITDA generation capability of Beinheim will be lower than prior to the November 13 suspension. Some of those business continuity requests by our customers will keep the – are keeping the products within the Catalent network, but no longer at the Beinheim facility. So we are not giving you the exact details, because we're still in the process of working that out for fiscal year 2017 especially as we see the ramp of the facility coming up. But we're certain that it will be lower both on revenue and EBITDA, it's not yet précised.
John C. Kreger - William Blair & Co. LLC: Okay. Thanks and John, if you think about the NPI, I think you said those introductions were up about 4% versus a year ago. What does the mix tell you about those new products if anything, any shifts?
John C. Kreger - William Blair & Co. LLC: The mix actually has been pretty constant with regards to our Rx and OTC products. I would say they generally range anywhere from 35% to 55% in a given year. That's what I've seen and it's been pretty consistent. We are seeing some very strong, I would say VMS growth that is contributing to those numbers. But overall we're just seeing positive moment I would say across the board. And I would just say, we're operating in a pretty robust marketplace. I think the number of projects that we have now within the company is north of 700, which is significantly up over several years back. So the good news is we are not seeing a mix down, I would say, in our NPIs because the relative value still is in the OTC and Rx space and those have been a very strong base and really good projects there. Seeing somewhat higher VMS projects, but because they are relatively lower value, they don't mix us down if you will. So I guess a long way of saying that we feel very good about the mix and have a strong amount of Rx and OTC projects coming out and in the pipeline.
John C. Kreger - William Blair & Co. LLC: Great. Thank you.
Operator: Our next question comes from Michael Baker with Raymond James. Your line is open.
Michael J. Baker - Raymond James & Associates, Inc.: Thanks. I was wondering if you could give us a sense as to whether or not there have been any customer retention issues as a result of Beinheim, as we think about 2017.
John R. Chiminski - President, Chief Executive Officer & Director: Yeah, so John here again. This has not had any impact with regards to customer retention. We have had individual customers who have wanted to move their products outside of Beinheim as we went through an extended period of that shutdown. But generally in the dosage forms that we operate in we have very, very sticky customers. So we don't – there is not a customer switching issue that we are having here or customer retention issue. There are individual products at the site that on a go-forward basis – on a go-forward basis customers have decided that the work necessary to get them restarted in the facility was not a good payback compared to the performance of those products and that was a very small number if you will just actually a few. So, and the bigger issue here obviously is, is the six months suspension and the financial impact to the company and then some stock out situations for our customers. That's the immediate effect. But I would say no long-term retention issues for our customers. The other thing I'll just note is, this is one of 11 softgel sites. So what our customers appreciated was we did have opportunities to move these products to other softgel sites which also makes Catalent a natural choice given the fact that there are there are risks operating in this highly regulated space.
Michael J. Baker - Raymond James & Associates, Inc.: And then, on a different topic, Matt you kind of talked about continuing to pursue targets out there. What are some of the key gating factors in terms of getting the deal done? Is it pretty much price at this point?